Operator: Good morning. My name is Denisius and I would like to welcome everyone to the JetBlue Airways Third Quarter 2015 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Director of Investor Relations, Kevin Crissey. Please go ahead.
Kevin Crissey - Director-Investor Relations: Thanks, Denisius. Good morning, everyone, and thanks for joining us for our third quarter 2015 earnings call. Joining us here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP Commercial & Planning; and Mark Powers, our CFO. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, 10-Q and other reports filed with the SEC. Also during the course of the call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now, I'd like to turn the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes - President, Chief Executive Officer & Director: Good morning, everyone, and thank you for joining us. Earlier today, we reported our results for the third quarter 2015. In the quarter, net income was $198 million, or $0.58 per diluted share. On a year-over-year basis, our net income more than doubled and over the last 12 months, we had delivered a return on invested capital of 11.7%. These strong results would not have been possible without the terrific job performed by our over 18,000 crew members during a very peak busy summer season, while we carried a record 9.2 million customers. Total revenues grew 10% year-over-year in the quarter, reflecting solid underlying demand in all of our geographies, execution of our network strategy and successful implementation of fare options. Operating expenses decreased 2% year-over-year, driven by a lower fuel price environment. As compared to third quarter 2014, our realized average fuel price of $1.85 was down 39%. Operating margin in the third quarter was 20.8%, an improvement of more than 10 percentage points. Our network maturity continues to drive superior unit revenue increases. 89% of our capacity is now allocated to routes started less than three years ago as compared – at least three years ago compared to only 84% when measured at the close of the third quarter 2013. We continue to focus on our growth in high value geography. Nearly 98% of JetBlue's third quarter ASMs started or ended in one of our six focus cities. Margins are expanding across the network even as we grow capacity faster than the industry average. In fact, we closed the third quarter with our most profitable September in JetBlue's history. We continue to be extremely pleased with all aspects of Mint's performance from customer satisfaction to its bottom line contribution, this tremendous success led to our decision to expand Mint's footprint. This past Sunday, we started additional Mint frequencies from New York JFK to Los Angeles and from New York JFK to San Francisco. Looking forward, we are very excited about the upcoming Mint expansion to the Caribbean and Boston. Next week, on November 7, we will launch Mint seasonal service between New York JFK and Aruba and New York JFK and Barbados. In 2016, Mint comes to Boston with up to three daily round trips to San Francisco and Los Angeles and seasonal service to Barbados. Mint's best-in-class product, low fares and underpinned by the amazing job our crew members have done in delivering the product continues to do very well. Let me now highlight our operational performance; most major operating metrics improved year-over-year. On-time performance measured by systems arrivals within 14 minutes of scheduled time, otherwise known as A14, improved 1.4 percentage points to 77.8%. Completion factor improved 0.5 percentage point year-over-year to 99.3%, driving efficient capacity growth. Another strong execution story is our planning and rolling out of fair options. While we are still in the early stages of this initiative, we are happy to share that our technology and training investment are paying off with promising third quarter results. Marty will provide additional color on the revenue impact shortly, but we believe we're on pace to exceed our initial target of $65 million incremental operating income in 2015. Fare options was much more than the implementation of a first checked bag fee. It was a significant change for JetBlue, impacting the entire company, including our operation, technology and culture. I'm particularly proud of our crew members who were able to minimize its impact on our operating performance and customer sentiment through the peak travel season. To recognize our crew members' incredible contribution to our strong results so far in 2015, I am pleased to report that we will make an early partial 2015 profit sharing payment of $50 million. Mark will provide you additional information on this financial implication. In closing, we are happy with our results in the third quarter and remain laser-focused on executing the initiatives we have previously outlined to improve returns. We are still in the early innings of our multi-year self-help plan outlined at our last Investor Day, November 2014. We anticipate this plan will improve our annual bottom line by $450 million, independent of GDP growth, industry capacity or the price of fuel. And with that, I would like to turn the call over to Marty to discuss our revenue results in greater detail.
Martin J. St. George - Executive Vice President-Commercial & Planning: Thank you, Robin. Good morning, everyone and thanks for joining us today. Overall, demand in the third quarter was solid. Passenger unit revenue, or PRASM decreased 0.006% on capacity growth of 10.4%. Based on A4A data, unit revenue across our combined domestic and Latin networks outpaced the industry by 5 percentage points in the third quarter, while we simultaneously grew ASMs more than 5 percentage points faster. Our strong relative revenue performance continues to be the result of the maturation of our network, our limited exposure to the softer global markets and unfavorable currency exchange rates, strong execution of our network and revenue initiatives, and of course, terrific execution by our crew members, who deliver an outstanding JetBlue experience every day. Looking at our performance on a regional basis, we saw PRASM strength across both our domestic and international networks. Latin America and Caribbean markets were strongest due to lower relative capacity growth and easier comparisons. On the domestic side, the transcon region performed very well, while Florida saw some yield pressure due to additional JetBlue and industry capacity. September PRASM did soften towards the end of the month, as close-in yields were lower than expected. Other revenue increased 19% year-over-year in the third quarter, reflecting the fare options revenue tailwind. As Robin highlighted, we launched fare options on June 30 and are positive about its initial revenue impact. In the third quarter, we recognized fare options revenue of about $40 million. We now expect the incremental operating income benefit of fare options in 2015 to be at least $80 million. This is ahead of our initial target of $65 million and reflects a higher number of fare up-sells and more first checked bags than originally forecasted. As a reminder, the fare option initiative impacts both passenger and other revenue. Fares purchased by customers for any of the options are reported as passenger revenue; additional bag charges, primarily paid at the airport, continue to be reported in other revenue. I anticipate you may ask some questions about the split between PRASM and other revenue. While we recognize your need to refine your models for fare options, we are not prepared to share that information at this time due to its commercial sensitivity. As revenue from fare option grows, we recognize that total RASM or TRASM is becoming a more meaningful indicator of our revenue performance. While we are not prepared to announce any changes in our guidance process, we are reviewing our options for future disclosures. Now on to Fly-Fi, our industry-leading free high-speed broadband Wi-Fi product. JetBlue has recently completed the installation of Fly-Fi across our entire Airbus fleet, consisting of more than 150 combined A320 and A321 aircraft. In addition, our first Fly-Fi enabled Embraer 190 aircraft made its inaugural commercial flight earlier this month. We plan to complete Fly-Fi installation on all 60 of our E190s by the fall of 2016, at which point we will be offering free Fly-Fi service on the entire JetBlue fleet. While most of our competitors charge for onboard Wi-Fi, our ability to offer a better experience for free is driven by revenue-generating agreements, such as our partnership with Amazon, which we announced earlier this year. We are also excited to finally share some additional information about our co-branded credit card relationship. Beginning in the first quarter of 2016, we will launch a new co-brand credit card partnership with Barclaycard on the MasterCard network. At that time, our current agreement with American Express will end, and existing cardholders will be converted from American Express to a Barclaycard. American Express has been a valued co-brand partner since 2005, and we thank them for their partnership. While we cannot publicly share many specific details about the new agreement yet, we are excited about the new choices this card will provide for our customers, and its likely positive financial impact for JetBlue. We will have more details for you about the agreement in future quarters as permitted under the terms of these agreements. With that, I'll turn the call over to Mark to provide further details on the quarter.
Mark D. Powers - Chief Financial Officer: Thanks, Marty and Robin, and good morning, everyone. Thanks for joining us today. This morning we reported third quarter operating income of $351 million, more than twice the operating income of the same quarter last year. Pre-tax income in the quarter was $322 million, up from $132 million last year. Pre-tax margin was 19.1%, that's an improvement of more than 10 percentage points. Total revenue grew 10.4% on capacity growth of 10.4%. Yields improved 0.5%, while load factor decreased 0.9 percentage points. As to costs, excluding fuel and profit sharing, year-over-year third quarter unit costs increased 2.4%, that's consistent with our July quarterly guidance range of 1% to 3%. In the quarter, year-over-year unit cost pressure came primarily from salaries, wages and benefits, maintenance materials and repairs and other expenses related to the launch of fare options. Specifically, a portion of our planned maintenance expenses shifted from the fourth quarter to the third quarter. While the shift had a negative impact on the third quarter, we don't expect it to meaningfully affect our full-year cost performance. Executing on our strategic initiatives is a key element of our success. In the quarter, we made investments in training and technology to ensure the successful rollout of fare options and to minimize its impact on our operation and customer sentiment. Turning to fuel. In the third quarter 14% of our fuel consumption was hedged using jet fuel swaps and collars. Including the impact of fuel hedging and taxes, our fuel price in the third quarter was $1.85, which is down from last year's per gallon price of $3.05 or 39%. Our hedge positions remain unchanged since our last guidance when we reported second quarter earnings. As of today, we have hedges in place for about 15% of our expected fourth quarter 2015 fuel consumption and no hedges in place for 2016 and beyond. Based on the forward curve as of October 16, we expect our fourth quarter fuel price per gallon including the impact of taxes and hedges to be approximately $1.77. Given that we have no hedges in place for 2016, there's no need to provide additional guidance. For more specific details regarding our hedge positions, please refer to our investor update, which is filed with the SEC and made available on the Investor Relations section of our website prior to the start of this call. As for profit sharing, as Robin mentioned, our strong results drove our decision to recognize crew members' terrific work by making an early partial profit sharing payment of $50 million. The payment will be made in November with the balance of the annual profit sharing paid early next year. Please note, this action will not increase the overall size of our 2015 profit sharing. It's simply an accelerated use of cash that would otherwise be paid in 2016. In prior years, the profit sharing amount was more modest and paid entirely in the first quarter of the following year. Moving to the balance sheet. We ended the quarter with $1.1 billion in cash and short-term investments. During the third quarter, we made scheduled debt payments and capital lease payments of $54 million. Strengthening our balance sheet and managing risks continues to be a priority, and we believe we are making good progress. Over the last 12 months, while adding to our asset base, we have reduced our net debt by nearly $800 million, driving a significant improvement in our net debt to EBITDA ratio, which was down from 2.8 times a year ago to 1.1 times today. Reflecting the continuous improvement of our credit metrics over the last three years, JetBlue's unsecured credit rating was upgraded by two notches by Moody's in the quarter. Given the strong liquidity, we continue to look for opportunities to reduce our debt and use cash to lower future operating expenses. A good example of the latter is our plan to buy out the leases on six A320 aircraft we are currently operating by year end. Although we expect this decision to increase our 2015 CapEx by about $110 million, we believe we will save about $12 million per year in lease payments. In addition, this buy-out will reduce maintenance expenses related to the return conditions required in those current leases. With respect to share repurchases, on September 15, JetBlue closed its previously-announced accelerated share repurchase program. In total, JetBlue purchased 6.8 million shares at a weighted average price of $22.06. In addition, in September 2015, JetBlue entered into a Rule 10b5-1 trading plan agreement as part of its share buyback program announced in 2012. This program covers purchases of up to 3 million shares between October 30, 2015 through the end of the year. With respect to capital and fleet, JetBlue ended the quarter with 211 aircraft, including 130 A320s, 60 E190s and 21 A321s. We purchased two A321 aircraft in the third quarter with cash and expect to take delivery of four more A321s in the fourth quarter of this year. Given the strength of our cash from operations, the current presumption is that we will pay cash for all of our upcoming fourth quarter deliveries and possibly most of the 10 2016 deliveries. In order to support our recently announced Mint expansion plan, we've converted five of the 10 A321 delivery scheduled for 2016 from the high density configuration to the lower density mid-configuration. In the fourth quarter of 2015, we project total CapEx between $345 million and $365 million that's approximately – of which approximately $315 million relates to aircraft, including the lease buy-outs I previously mentioned. For the full year 2015, we now expect non-aircraft CapEx of $120 million to $140 million, which is down from previous guidance of $150 million to $200 million. We now expect total capital expenditures in 2015 of approximately $900 million to $920 million. Turning to capacity, we plan to grow ASMs in the fourth quarter year-over-year between 8.5% and 10.5%. We plan to grow our full-year capacity by 8.5% to 9.5%, up slightly from the previous guidance, which is at the high end of a 7% to 9% range. The 0.5% increase to the high end of our full-year capacity guidance range is a function of, one, the additional Mint service, driven by higher utilization of our mid fleet, and two, our continued better-than-expected completion factor. For the full-year 2016, we forecast high single-digit percentage ASM growth, which is similar to 2015's growth. We expect capacity growth to be faster early in the year as we annualize 2015 growth. Turning to the revenue outlook; we continue to see demand resilience across our network. We expect October passenger RASM to decrease around 2% per year, year-over-year rather. Although we do not provide quarterly passenger RASM guidance on earnings calls, we expect November passenger unit revenue growth to perform better than October PRASM. I would also note that the Monday after Thanksgiving falls in November this year versus December last year. In addition to the timing of Christmas Day this year compresses the peak holiday period. We expect holiday timing to benefit November and soften December. Moving on to costs; in the fourth quarter, we expect CASM excluding fuel and profit sharing to increase between 0% and 2% year-over-year. Looking at the full-year 2015, we are lowering the top end of our guidance, we now expect CASM, excluding fuel and profit sharing to only increase between 0% and 1%, versus prior guidance of between 0% and 1.5%. In closing, we're clearly pleased with our third quarter results. Our crew members remain highly engaged, we're excited to keep delivering on our plans for 2015 and beyond. And with that operator, we're ready to take questions.
Kevin Crissey - Director-Investor Relations: Thanks, Denisius. Can you please prepare the analysts for Q&A?
Operator: Thank you. Our first question comes from Julie Yates of Credit Suisse. Please go ahead.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): So, just trying – I know you guys aren't going to provide necessarily a breakout of the Fare Family contribution and the underlying PRASM, but it certainly seems, upping the contribution from Fare Families with October being down 2%, that there's an underlying deterioration, perhaps in the yield environment. So can you spend a little bit more time talking about what happened in late September, what you're seeing in October and maybe what the drivers are, if that's more competitive capacity coming in or if some of this industry yield weakness is just catching up and impacting the JetBlue markets now?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Julie, it's Marty, let me take that one. I think you sort of gave half the answer already, I mean and we reported earlier, we saw sort of a one-time blip in the second half of September, the first half of October. We've definitely seen a bounce back in the last few weeks. So, we really think it was a temporary issue and it wasn't a load factor of an issue, it was more close-in yields for that sort of end of September, beginning of October period, but that has bounced back. We did just – Mark just guided that we were forecasting November to be obviously better than October and honestly there's a lot of choppiness this year with holidays as far as what moves between November and December. The combined November, December both looks better than October. So we really think it's a one-time issue.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): Okay. And you're seeing affirmation that it's a one-time issue based on your forward bookings for the holidays and such?
Martin J. St. George - Executive Vice President-Commercial & Planning: I'd say, well, I mean I can't give too much guidance more than what we said already, but I would say, based on the last couple of weeks of bookings we've seen, we've seen it really come back to where it was before that softness.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): Okay. And then just on the credit card, I realize there's some constraints with your new partner, but you had given the $60 million number, I believe with Investor Day last year, is – in that context can you provide whether it was in line, better or worse than what you had provided us last year?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yes. We're not in a position to give any different guidance than what we gave during Investor Day. I will make a comment that I think I made on the last Investor call which is, as we looked at – we now our deal obviously, as we looked at the announcements from some of our competitors who have also came out with revised deals. There is a wide range of structures as far as how those cash flows go and the operating income accretion that we reported at Investor Day is based on the contract that we signed, obviously as results come in we'll be updating that, but we have no change in guidance right now.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): Okay, thank you very much.
Operator: Our next question comes from Joseph DeNardi with Stifel.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Thank you. Good morning. Just on the capacity outlook for next year, I think we started this year off a couple points lower so as the, and we ended up a little bit higher, is the bias to grow more assuming this margin performance continues as you go into next year?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, good morning, Joseph. Listen, if you look at the guidance that we laid out for 2015, we took it up basically for two reasons. One was that with the departure of one of our competitors out of New York to the West Coast and our Mint markets, we saw the opportunity to add capacity there. And second, we are performing, from a completion factor perspective, significantly better than we had originally guided (24:21) forecasted at the beginning of the year, and I think tied to great execution by our team. With respect to 2016, if you look at the guidance that we basically just gave, it is very similar to guidance for 2015. We've talked both in Investor Day, in individual investor meetings and on calls that this high-single digit range is about the sweet spot for JetBlue. I think the most important thing is the growth that we're talking about, the incremental Mint capacity we had in the fourth quarter of 2015 is coming with the same asset base and it's absolutely positively margin accretive.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Operator: And our next question comes from the line of Hunter Keay with Wolfe Research.
Jared Shojaian - Wolfe Research LLC: Hi, good morning. This is actually Jared Shojaian in for Hunter. Thanks for taking my questions. Mark, I wanted to ask you about the fuel hedges or lack of fuel hedges and 2016. I think at this point historically you had more hedges for the upcoming year than you do now. So is this a change in strategy? Or do you plan to layer on some more hedges at a later point of time? And if it is a change, can you help us understand your thought process?
Mark D. Powers - Chief Financial Officer: It's an easy question because there's no change in my thought process. I continue to look at it as a way to mitigate risk. We still consider hedging our toolkit and Jim Leddy and his team continue to look at the environment – we look at the environment, we look at what other airlines are doing, the pricing of the various products as we consider our future options. But there's really no philosophical change yet.
Jared Shojaian - Wolfe Research LLC: Okay. Thank you. And then, a question for Robin or Marty. So I mean, it feels like with that October PRASM guidance, it feels like your RASM outperformance is really started to slow here. Is there anything abnormal about the first half of this year, some specific tailwinds that we're starting to lap that aren't continuing into the second half of this year? And I mean is there any reason why next year's RASM performance, as we look forward, can't be just as strong on an outperformance basis to the industry? Or again, I mean are there some specific tailwinds that you started to lap here? Thanks.
Robin Hayes - President, Chief Executive Officer & Director: Let me – maybe I'll take the first part of that, Marty, and then you can take the second in terms of next year and thanks for the question, good morning. No, one of the things we track very carefully is our relative revenue performance to the industry. And we've actually seen that continue through September at a pretty similar rate to what we've seen the rest of the year. So, we don't believe that the revenue outperformance has started to slow, obviously, we don't have October's data yet, but I don't think there's anything in October that we think would be structurally different to September. So, no, I feel – we still feel very good about the relative revenue performance. We use the A4A sort of a comparative set, and if we look at sort of the domestic performance then really between May, June this year and September we've been running a sort of high 2% to 3% outperformance and that – it hasn't really changed much. In fact, the lowest month of revenue – relative outperformance was July.
Martin J. St. George - Executive Vice President-Commercial & Planning: And with respect to 2016 and I think honestly Robin answered most of the question, which is, if you start with the assumption that there's a slowing, it's a reasonable question, on a relative basis versus the industry, I don't think we're seeing that. I think if you listen to the guidance that we've heard from our competitors earlier on during this earnings season, and then you look at what we're talking about. I think we feel very comfortable that we're multiple percentage points higher in RASM growth than our competitors. So, from a JetBlue perspective, I'm not sure I agree with your premise. And the second thing I'll mention is for much of 2016, we'll be lapping the – we won't be lapping the adoption of fare options until three quarters of the way through the year more or less, and we also have our credit card kicking in. So, in addition to what we're seeing as far as the secular JetBlue performance versus the rest of the industry, we also think you layer on top of that the initiatives that we outlined at the Investor Day and we're actually very bullish.
Jared Shojaian - Wolfe Research LLC: Okay, thank you.
Operator: Our next question comes from the line of David Fintzen of Barclays.
David E. Fintzen - Barclays Capital, Inc.: Hey. Good morning, everyone. On the sort of, the gap in the third quarter between PRASM and RASM, and I know Marty said, you guys aren't going to talk a lot in detail about this, but is it fair to assume that you leave the quarter with a much bigger than 60 basis point gap between sort of, as the back seat in the airport are spooling, or is it that something that comes in and then is fairly stable?
Martin J. St. George - Executive Vice President-Commercial & Planning: Good morning, David. I'm not sure I fully understand the question to answer it correctly, so let's follow up afterwards.
Robin Hayes - President, Chief Executive Officer & Director: Rephrase the question?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yeah, could you just try to rephrase it maybe?
David E. Fintzen - Barclays Capital, Inc.: No, just your operating RASM outperformed PRASM by 60 bps, obviously there's a chunk of the bag of fees coming into other, what I'm trying to kind of...
Martin J. St. George - Executive Vice President-Commercial & Planning: Thank you.
David E. Fintzen - Barclays Capital, Inc.: ... gauge is kind of where we left the quarter and run rate. At least, it could get better, it could get worse, I get that. It's still developing, but at least to sort of have something to frame it into Q4 and kind of plug that hole in the model.
Martin J. St. George - Executive Vice President-Commercial & Planning: Okay, that makes sense. I apologize for that in the first time.
David E. Fintzen - Barclays Capital, Inc.: No, I didn't phrase it very well.
Martin J. St. George - Executive Vice President-Commercial & Planning: I mean the one thing I would say is that as we look at the performance of the relative bundles within fare options and the a la carte purchase, we're seeing – we're just now starting to understand the trends as far as at what periods do people buy bundles, at what periods do people try to buy a la carte and also the penetration of our Blue Plus fare, actually the Blue Flex fare, which has the no change fees. And what we're seeing is that, there is some pretty dramatic difference in performance between the peak periods and trough periods. So, I think if we can sort of bookmark that question for a future earnings call because I kind of want to go through a couple of more peak periods, you know sort of a Thanksgiving to Christmas, so that I can really give effective and unequivocal guidance for that performance because we're really seeing – we're seeing differences between peaks and troughs. It's not unexpected, but I don't think we have enough data points to truly come up with a long-term trend.
David E. Fintzen - Barclays Capital, Inc.: Okay. No. That's fair. That's actually very helpful as a starting point and then maybe a quick one for Mark on the leased aircraft you are buying out, is that something you did under the sort of natural terms of those deals, or are you finding opportunities to kind of buy these leased aircraft early from the (31:35) source?
Mark D. Powers - Chief Financial Officer: A little bit of both, it makes a lot of sense because these are airplanes that would – clearly would put in our density program. So we would like to put some investments in the aircraft. I think the – if I correctly recall the leases on those planes were up shortly. So, it was really a question of do we extend the leases or buy the aircraft and frankly considering the investment we're going to put in the aircraft, buying the aircraft was just much more shareholder friendly.
David E. Fintzen - Barclays Capital, Inc.: And I would take it that's got to be some of your highest implicit interest rate, is that something you think you can do more of in 2016?
Mark D. Powers - Chief Financial Officer: I won't comment on the lease rate, but I don't think it was – we weren't cherry picking the higher-priced leases. But we are – we will continue to look at, particularly as we gear up on the density program, we'll continue to look at other opportunities to do early buy-outs of these leases that we have in place.
David E. Fintzen - Barclays Capital, Inc.: Okay. Makes a lot of sense. All right. Thanks for all the color.
Mark D. Powers - Chief Financial Officer: Thanks.
Operator: Our next question from the line of Michael Linenberg from Deutsche Bank.
Michael Linenberg - Deutsche Bank Securities, Inc.: Yes. I guess a couple questions here. Marty, you highlighted some of the positive tailwinds in 2016. You talked about the credit card deal and really getting, you know, a much fuller benefit of the fare options. How does the adding the additional seats, the seating densification program. Does that get started what? Mid-year? And how does that start to flow through? I mean, I guess it's revenue accretive but maybe it negatively impacts RASM? And how quickly can you sell those additional seats because I know initially you may only have a few shells flying around with the additional seats sometimes it – sometimes you have to carry that deadweight and you have to spool up into a sufficient number of aircraft before you can actually sell them within the schedule. Can you just talk about that?
Martin J. St. George - Executive Vice President-Commercial & Planning: Sure Michael, thank you and good morning.
Michael Linenberg - Deutsche Bank Securities, Inc.: Good morning.
Martin J. St. George - Executive Vice President-Commercial & Planning: The seat densification project starts in the second half of 2016. And the good news is that when you're building model to 2016, we actually do need to be, keep track of those planes separately because they do have a fourth in-flight crew member on board. So, they'll be routed to the extent where we feel comfortable, we're trying to get that revenue relatively quickly because we have to schedule them differently because they have different crew requirements. And I think, as we get closer into 2016, I think we can give you more color as far as what the shape of the year is going to look like. But, as we said during Investor Day, we're very bullish about the benefits of the density improvement. And again it's a product that our customers understand right now and love on the A321 and we're excited about being able to bring that product to A320, while also improving our revenue performance. And we think in world of very, very, low capital intensive programs, fare options and density, we think are both extremely ROIC friendly.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay. Great. And then just a second one here. I saw somewhere that I guess what JetBlue is getting out of the cargo business, so presumably it's margin diluted, maybe it's even loss making, but what's that the P&L impact? I mean, are we going to see, less revenue? Less cost? It obviously will have some impact on RASM I guess, but it will also help CASM. I mean, how should we think about that and when does that happen? When do get out of the cargo business?
Martin J. St. George - Executive Vice President-Commercial & Planning: We're officially out of the cargo business as of, I think, about a week ago.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay.
Martin J. St. George - Executive Vice President-Commercial & Planning: So, that's actually going to be start reflecting in our results going forward and the impacts on the bottom line will be de minimis. The driver to make that decision, you know, it was a marginally profitable program, so what we also recognized was that as seat densification came, the challenges we have right now with getting cargo on airplanes, on a narrow-body fleet, it just gets significantly worse when we add the seats on the airplane, because our challenge right now is we do run relatively high load factors in some of the best cargo markets and putting the extra seats on the Airbus, we sort of looked around the corner and said to ourselves, our ability to maintain this business profitably was going to be seriously stretched.
Robin Hayes - President, Chief Executive Officer & Director: I just wanted to add a couple of things if I could. I mean, first of all, it's not lost with, on us that we had a number of crew members who are directly impacted by this change. I mean, they've done an amazing job building our cargo business and we're very grateful and thankful for everything they've done and obviously working with those crew members on other options in the company. But I think in addition to Marty's point, for us to really do cargo successfully and grow the margins and build the business, it would have required some significant capital investment as well. And I think when we think about how we prioritize capital spend and how we look at the things that will drive the best returns, we just couldn't – we couldn't get there in terms of building this business and so we took the decision to restructure it. And just my thanks to Ed McDonald and the cargo team for everything they've done to take us where we are today.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay. Great. Thanks, guys.
Operator: Our next question comes from the line of Tom Kim of Goldman Sachs.
Tom Kim - Goldman Sachs & Co.: Thanks for the time here. Mark or Marty, I wanted to follow on Michael's question on seat densification. I realize it's kind of early, but can you give us your, at least your initial, expectations around where CASM, ex-fuel, ex-profit share, should be for next year?
Mark D. Powers - Chief Financial Officer: That's two questions here. I don't think we're actually going to start guiding CASM next year. Again, densification will have obviously a terrific impact in a good way on our CASM structure. But I don't think we're in a position to really get ahead of ourselves on CASM next year.
Robin Hayes - President, Chief Executive Officer & Director: Yeah. We normally offer that flavor in the January call and I think will continue to do that. But appreciate the question, Tom.
Tom Kim - Goldman Sachs & Co.: All right. Thanks a lot.
Operator: Our next question comes from the line of Andrew Didora of Bank of America.
Andrew George Didora - Bank of America Merrill Lynch: Hey. Good morning, everyone. Just wanted to ask another question on kind of the yield softness that you saw at the end of September beginning of October. Was this kind of – was this more system-wide yield softness, was it specific markets that maybe you can comment on? And as you've seen that kind of – as you've seen those bookings bounce back, has that also been in those markets or more system wide? Thanks.
Martin J. St. George - Executive Vice President-Commercial & Planning: All right, thanks Andrew for question. I mean, we did not really see any specific markets and it was really a close-in yield story. It was more or less across our system and it's come back across the system. So no I don't – I've heard some of our competitors give guidance on markets like Orlando. We don't see Orlando being any better or worse or anything else and it's held up very well.
Andrew George Didora - Bank of America Merrill Lynch: Okay. Thanks.
Operator: Our next question comes from the line of Jamie Baker from JPMorgan.
Jamie N. Baker - JPMorgan Securities LLC: Hey. Good morning, everybody. Question number three on densification. Could you give us an estimate as to how many additional flight attendants you are going to require once the entire A320 fleet is densified? Obviously trying to nail down the incremental labor expense. Also on the incremental 15 seats, how do you think the average fare on those compares to what your current average fare is? Are you modeling for it to be 5% lower or 50% lower?
Mark D. Powers - Chief Financial Officer: I'll do the labor, the flight attendant piece first, which is to simply say that you clearly – that will be over the term of this multi-year program an incremental cost offset by the revenue that Marty is going to talk about. But, I would say that in 2016 the flight attendant hiring is probably going to represent less than half a point of our full-year CASM.
Jamie N. Baker - JPMorgan Securities LLC: And the EBITDA on a head-count basis, just so we could kind of work-up some of the numbers ourselves?
Mark D. Powers - Chief Financial Officer: I don't think we're going to...
Jamie N. Baker - JPMorgan Securities LLC: Sorry, go ahead.
Mark D. Powers - Chief Financial Officer: Yeah, no, I do recall your piece and I don't think we're actually going to identify the specifics of that CASM number, which is frankly a fairly small number in 2016.
Jamie N. Baker - JPMorgan Securities LLC: Okay, fair enough. And the second part of the question.
Mark D. Powers - Chief Financial Officer: Is to Marty.
Martin J. St. George - Executive Vice President-Commercial & Planning: With respect to the revenue, listen, I've done these calculations many times, you've done these calculations many times in your previous life. I think it is sort of a standard expectation as far as how you would do a still model and try to figure out what the incremental revenue is going to be. I'll tell you why we think this is very leveraged for JetBlue, specifically because, as we've talked about before, we're still a company with a strong leisure orientation that's got extremely high peaks. So, during those peak holiday period, the school vacations, Easter, Thanksgiving, Christmas, we have times when there is close to infinite demand. So, during those time periods, we're very bullish about the benefit of the incremental seats and we're also bullish about the benefit just on a normal course of business. I mean we do run in our leisure markets, especially some of the Caribbean transcon Florida markets; we tend to run pretty high load factors, so we're very excited about it. I can't give any more detail other than the guidance we gave on Investor Day though.
Jamie N. Baker - JPMorgan Securities LLC: No. Those are all good points. I appreciate you making them. Thanks a lot.
Martin J. St. George - Executive Vice President-Commercial & Planning: Thank you.
Operator: Our next question comes from the line of Helane Becker of Cowen & Company.
Helane Becker - Cowen & Co. LLC: Excuse me. Thanks very much operator. Thanks for the time, guys. Just a question here on – sorry. I don't know why my voice does that, but it does every once in a while. On sales and marketing expense, it's up 16% more than it was up in nine months for the quarter. And I'm just kind of wondering, I would think that number would go down in the third quarter and maybe up in the fourth quarter, so is there something going on that we should – that will have those numbers increasing at this higher rate going forward?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yeah. I mean, thanks, Helane. Good morning. I think one thing that's important about that is we're not changing our annual expectations for that line item, a good bit of its timing and one thing I will say is, sales in – I mean, revenue generating activities in third quarter are actually driving fourth quarter demand. So when we go out there with some of our marketing expense in third quarter, it actually specifically move towards filling seats in September, October. So it's actually more normal course of business and it's more timing than anything else.
Helane Becker - Cowen & Co. LLC: Okay. Thanks. Most of my other questions were asked and answered.
Operator: Our next question comes from the line of Rajeev Lalwani of Morgan Stanley.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Time. First question was just on competitive capacity. Are you guys seeing a fair amount as you look out at the schedules, just given the strength that you've seen in your network?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Rajeev. It's Marty. Good morning. If you look at the balance of 2015, we're not really seeing any change in trends in competitive capacity. We are seeing a little bit in Boston in early 2016, but I think given the practices we've seen of the industry as far as loading schedules that far out, I think it's too early to sort of call the ball as to whether that's real or not. We're really focused on our capacity growth. We know what our results were last year. We know the places we need more capacity, and that's really how we manage. We don't spend a lot of time focusing on what our competitors are doing month-to-month.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. And just another question as it relates to labor, any color there on the pilot and non-pilot side, just given what we've seen in the industry and how that kind of makes its way to your employees, I guess?
Robin Hayes - President, Chief Executive Officer & Director: Sure. No, appreciate the question. Good morning. In terms of the – on the pilot side, we obviously have a negotiation underway with ALPA. I would say we are at the early stages of that. I don't want to sort of make a prediction of how long it would take, but that's not something sort of I would say we are sort of immediately close to finalizing. In terms of the rest of our crew member groups, maybe I'll just take a second to explain how it works. We have values committees that advocate for those crew members and we have a process that really looks across the landscape and looks at what's happening with equivalent work groups in other airlines and over sort of a two-year cycle, we work through a sort of a pay and compensation review to make sure that our crew members are paid sort of a peer market rate. But that's not obviously something they have to bargain or negotiate. That's something they get, and it reflects what other airlines are doing. And so clearly as labor rates go up at other airlines, then that will create some upward pressure for our crew members because we want to make sure that we pay fairly and pay competitively because our crew members do an incredible job.
Rajeev Lalwani - Morgan Stanley & Co. LLC: And how does that two-year cycle play out? Meaning are we going to see it next year? Is it just different for the various types of employees?
Robin Hayes - President, Chief Executive Officer & Director: It's ongoing. So we have our customer support crew members, airports, in-flight, our systems operations team and our technical operations and materials team. So, we have those six groups that we review, and they are staggered sort of fairly evenly over two-year cycle. But the point is, it's much more of a continuous change rather than the traditional labor model where nothing happens for years and years and years, and then there is a contract and a big reset. So, as things change we kind of – we keep up gradually, and that's how we've always worked, how we've done it for the last several years, and that's how we'll continue to do it to make sure our crew members are receiving a market rate compensation package.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Very helpful. Thank you, gentlemen.
Operator: Our next question comes from the line of Savi Syth from Raymond James.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, good morning, just a few follow-up questions. On the fare options, I think the contribution was $40 million in Q3. And I'm kind of surprised that it's $80 million in 2015, and definitely better than expectations, but I would expect maybe Q4 to be better than Q3, but maybe there is some seasonality in there and I wonder if you can elaborate a little bit.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, thanks for the question Savi, good morning. I think the biggest reason to express caution on incremental money above that is that, remember we launched fare options on June 30. At that point, all revenue on the books on June 30 was not subject to the first bag fee, and as you get in the peak periods, Thanksgiving and Christmas, we had a good number of customers on the books during that time period. So, interestingly enough, so far the highest percentage of customers who are subject to fare options has been in September. November is actually a lower number because we have so much on the book. So, again as we sort of work off the previous reservations of people prior to fare options, there'll be a little bit of noise in there. And again, like I mentioned earlier in the conversation I think with Dave about the split between the fare options revenue, RASM and PRASM and things like that, there is still a lot of choppiness in there based on the peak and trough element of the time period as far as what we see. And I think honestly, I'm going back to the original source of strength that we mentioned when we took the guidance up to $80 million. We had forecasted a bigger decrease in first bag checked than has actually happened. We've not really seen the behavior change that we had originally expected. So, I want to make sure that we're – we've got sort of a full peak and trough period under our belts before we sort of call anything higher than the number we've given already.
Savanthi N. Syth - Raymond James & Associates, Inc.: All right. Thanks, that's helpful. Thanks Marty. And on the follow-up on the seat density, I was wondering if on the timing between the revenue generation and the cost generation, I know you're not ready to provide kind of cost color, but what's the timing difference between some of those costs ramping up before the revenue is starting to show up?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yes. I'll just take a stab at that only because it is again a multi-year program, so it's not going to be sort of a – you're not going to see a one-for-one, it's going to take, as we know, a year plus before we have enough density of density, if you will, that we'll be able to sort of see it in a significant way on the P&L.
Robin Hayes - President, Chief Executive Officer & Director: And I think what I would say is, we are trying to be very thoughtful about how we layer in the cost and then see the revenue benefit. And so one has to trade that with operational complexity, but we do want to make sure that we are thoughtful about how we add cost to things like flight attendants and when we see the revenue benefit.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. That's helpful. Thanks and then just on 2016, and I know you're not providing guidance, but I think you provided a little bit of it, but just maybe some of the headwinds and tailwinds as we kind of think about 2016. I think you have updating that helps. Maybe higher labor costs are going against it. But wonder if you can just provide a little bit more color, just initial color, on 2016.
Robin Hayes - President, Chief Executive Officer & Director: Sure, I would – appreciate the question and good morning. I think really going back to the time we laid out at our Investor Day in 2014, I think we're still very focused on fare options, as Marty said, we're really in the first innings of that, and we haven't even talked about some of the dynamic pricing capabilities that fare options will give us longer term once we understand it a bit better. We've got the credit card, Marty talked about, very exciting, we are we're very close to be able to launch that early next year and the investment in the A320 cabins, which I know the focus is on the densification, but it's actually a better product. It's a new seat, it's a new light TV system and as we're seeing on the A321, we actually think it will lead to an increase in our customer satisfaction levels. Going from three to four flight attendants is also going to allow for more personalized service on board. So, I think we have all of that. We continue to see the benefits of up gauging as the A321s come online and notwithstanding my comments about cost pressure, we outlined a commitment at the November 2014 Investor Day of making sure our ex-fuel CASM increases stayed under the 2%. We are on course to meeting that this year and we remain committed to that next year as well.
Savanthi N. Syth - Raymond James & Associates, Inc.: All right, that's very helpful, Robin. Thank you.
Operator: Our next question comes from the line of Dan McKenzie of Buckingham Research.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Two quick follow-up questions and then just a general question. On the outlook for 2016, what percent of the capacity next year is simply the annualization of flying introduced this year versus actual new ASMs being introduced next year?
Martin J. St. George - Executive Vice President-Commercial & Planning: I don't think we've guided anything more than what we said about the high single digit number.
Mark D. Powers - Chief Financial Officer: It's front-end loaded, that's all we can say.
Martin J. St. George - Executive Vice President-Commercial & Planning: Yeah, I think that's the only guidance I can give.
Dan J. McKenzie - The Buckingham Research Group, Inc.: I see. Okay. And then just another quick house-cleaning question here on Fare Families. To what extent do you guys have the flexibility to variably price the bag fee and what I'm getting at is that I'm seeing the same $15 fee for transcon flying as I am on shorter haul flights but I'm guessing the cost is probably not the same and I'm just wondering if there's, if that's something you can just talk about in terms of IT capability?
Robin Hayes - President, Chief Executive Officer & Director: No. Thanks, Dan. I'll take that. Good morning. It's Robin. Good day. I gave that answer to Savi, but I mentioned it very quickly and glossed over it. So we appreciate you giving an opportunity to elaborate. I mean when we built the tool, we built it with the flexibility and the plan – the ability to dynamically price. And so we have something that is very flexible. And I don't want to talk about sort of our intent in the arena of pricing, but we've built a tool, I think we've had great success over the years with even more dynamically pricing. And I do think as we think about fare options going forward then that dynamic pricing is absolutely something we built the product to be able to do.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Understood. And then, just one general question here, just on business travel, I'm wondering what you're seeing on the Mint markets versus the non-Mint markets, either in last-minute bookings or however you measure it, but I'm just wondering what you can comment on in terms of with what you're seeing in general and basically how is that changed relative to this, to last year?
Martin J. St. George - Executive Vice President-Commercial & Planning: Thanks for the question, Dan. I mean, I'd say two things. First is, obviously with those 16 seats at the front of the Mint cabin, it is a different customer base – or maybe a different customer base than we've seen historically. What we are seeing in Mint is a higher percentage of repeat customers than we have across the system and also a much stronger close-in booking curve. So I think both of those are highly indicative of the fact that we're doing a good job of penetrating the business customer base. I can speak for the revenue management team and the sales team, we are having conversations with corporate travel managers who we've never talked to before about whether it makes sense to them to get Mint into their corporate travel program, which we're very excited about. I would say on a year-over-year basis, there's really been no significant change in what we're seeing as far as close-in bookings. The one thing that has changed is, we have taken two, I think since – year-over-year, we've taken two additional fare increases in those markets versus what we've seen historically. What we had last year and I think it's because of that close-in strength. I mean as we talked to our customers, one of the pieces of feedback that I think the most – after people are loving the service and talking how great our in-flight crew members are, the next piece of feedback is, I keep trying to buy and I can't get on because it's sold out. We have multiple flights, certain flights in days of the week where three or four days out we're sold out, and that's something we're hoping we'll ameliorate with the additional capacity that we added early this month because we really see an opportunity there, to serve more customers with a great product.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Great. I appreciate that. Just a percent of business revenue that business travel spend may account for JetBlue's network, is there some kind of, can you help size where we're at today?
Martin J. St. George - Executive Vice President-Commercial & Planning: We don't report it, I mean one of the reasons we don't report it is because there are a lot of different ways to define it. And I think if we were to give you a number we'd have to spend the next five minutes explaining to you the three different ways you could look at it and why we have it, but it's not a number we report publicly.
Dan J. McKenzie - The Buckingham Research Group, Inc.: I see. Okay. Thanks for the time you guys.
Operator: And at this time there are no further questions.
Kevin Crissey - Director-Investor Relations: Terrific. Thank you. Thanks everybody for joining our third quarter conference call. We look forward to talking to you soon. Have a great day.
Operator: And again, that will conclude today's conference. Thank you all for your participation.